Operator: Ladies and gentlemen, thank you for standing by. Welcome to Enerpac Tool Group's Fourth Quarter Earnings Conference Call. At this time, all participants are in a listen-only mode. As a reminder, this conference is being recorded, today, October 17, 2023. It's now my pleasure to turn the conference over to Travis Williams, Director of Investor Relations. Please go ahead, Mr. Williams.
Travis Williams: Thank you, operator. Good morning and thank you for joining us for Enerpac Tool Group's year-end fiscal 2023 earnings call. On the call today to present the company's results are Paul Sternlieb, President and CEO; Anthony Colucci, Chief Financial Officer. Our slides and recording of today's call will be available on Enerpac's website in the Investors section. In today's call, we'll reference non-GAAP measures. You can find a reconciliation of GAAP to non-GAAP measures in the appendix of the slides as well as in the press release issued yesterday. Our comments will also include forward-looking statements that are subject to business risks that could cause actual results to be materially different. Those risks include matters noted in our latest SEC filings. Now, I will turn the call over to Paul.
Paul Sternlieb: Thanks, Travis, and good morning. It’s a pleasure to be here to talk about Enerpac’s strong financial performance in fiscal '23. We also have a lot of good news to report in terms of the success of our ASCEND transformation program with our first full year of implementation now behind us.  As you can see on Slide 3, full year revenue of $598 million exceeded our initial guidance and came in at the high end of the guidance we revised upward last quarter. Reported revenues expanded 5%, while core sales, which exclude the impact of foreign exchange and dispositions, were up 8% over the prior year. Free cash flow also exceeded initial guidance and was toward the upper end of our revised guidance, and adjusted EBITDA of $136 million well exceeded our expectations and expanded 65% year-over-year.  In fiscal 2023, we moved into the implementation stage of our ASCEND transformation program designed to accelerate Enerpac's growth and profitability. To date, I'm pleased to report that we are ahead of schedule in terms of the timing and benefits of ASCEND. Originally, we anticipated total annualized adjusted EBITDA benefits of $40 million to $50 million by the end of fiscal 2024. In the second quarter, we raised that guidance to $50 million to $60 million. In fact, in fiscal 2023, we achieved our goal, capturing ASCEND benefits of $54 million and a year ahead of plan. While ASCEND remains an important part of transforming the company, given that we are well ahead of schedule, we intend to leverage the power of ASCEND to transition to a focus on continuous improvement.  As noted in our earnings release, we have issued our guidance for fiscal 2024, keeping it on the fairly cautious side. This is due to the continued uncertainty in the macro environment. However, we firmly believe Enerpac is well-positioned to continue to outperform the industry and gain share, based on the success of our four-pillar growth strategy, which includes expansion in key vertical markets, digital transformation, customer-driven innovation, and expansion in Asia Pacific.  I'll let Tony review our fiscal 2023 performance and cover our guidance for fiscal 2024. Then I'll return with more details about ASCEND and our growth strategy and the ongoing benefits to the top and bottom line. Tony?
Anthony Colucci : Thanks, and good morning. As Paul said, Enerpac enjoyed solid growth on the top and bottom line in fiscal 2023. Core revenue, which excludes divestitures and the impact of foreign exchange, expanded 8% from fiscal 2022. On a core basis, product revenues expanded 12% year-over-year. At the same time, service revenue declined 7%, due to the previously discussed implementation of a more selective quoting process, particularly in the Middle East region. We anticipate we will see this impact for another two quarters as we began implementing this process in the back half of fiscal 2023.  Within the Industrial Tools & Service segment, three of our four geographic regions, Americas, Asia Pacific, and ESSA, which includes Europe, Sub-Saharan Africa and India, generated double-digit growth in fiscal '23. As for the MENAC region, which includes the Middle East, North Africa and Caspian, revenue declined in the mid-teens as expected as a result of the just mentioned selective exit from certain projects in our service business. The ESSA region enjoyed healthy demand from wind, rail, and infrastructure. However, dealer sentiment is neutral to cautious.  In Asia Pacific, dealer sentiment is most positive in Australia, driven by demand from the mining industry. Other positives include infrastructure spending in Japan and shipbuilding in Korea and Japan, somewhat offset by softness from China's steel mills and manufacturing sectors. Overall channel inventory is appropriate.  In the Americas, sales growth was broad-based, with particular strength in infrastructure and wind markets. Channel inventory is stable. However, our dealers have expressed some caution with a slowdown in the rate of growth due to general economic conditions. In the MENAC region, investment in oil and gas and renewable energy projects remain strong. Overall dealer sentiment is neutral and inventory is appropriate.  We know these acronyms for our regions are mouthful. They have also added an unnecessary layer in terms of how we manage the company from a commercial perspective. Beginning in fiscal '24, we streamlined our geographic reporting and consolidated it into three regions: Americas; EMEA, which includes Europe, Middle East and Africa; and Asia Pacific.  As we mentioned last quarter, we welcomed Phil Jefferson to lead our new EMEA region. Phil joins us with an extensive background leading industrial businesses including senior roles at Motorola Solutions and most recently, Honeywell International. We are pleased to have him on Board.  As you can see on Slide 7, showing the 2020 to 2023 period, we have consistently grown revenue and greatly improved profitability. In fiscal '23, gross margins expanded to 49.3% from 46.5% in fiscal 2022, an increase of 280 basis points.  This was driven in part by the success of our Lean initiatives and our continued focus on operational excellence. We are excited about the operational improvement plans we have in place and the broad operations team engaged to lead and implement them. Similarly, our initiatives to improve operational efficiency and productivity in SG&A prove beneficial.  Adjusted SG&A expense, which excludes ASCEND and other onetime charges for both periods, improved 550 basis points to 28.2%. Our goal is to further improve the efficiency of our SG&A spend as a percentage of sales, and over time, bring us in line with best-in-class industrials. For fiscal '23, adjusted EBITDA was $136 million, an increase of 65% year-over-year. With that, adjusted EBITDA margins expanded from 14.5% in fiscal 2022, to 22.8% in fiscal '23. Diluted earnings per share from continuing operations totaled $0.94 in fiscal '23, up from $0.33 in fiscal '22. Adjusted earnings per share increased approximately 80% to $1.45 compared to $0.81 in the year ago period. For the year, we generated free cash flow of $70 million, driven by strong EBITDA growth and working capital improvements, partially offset by onetime ASCEND costs. This is a substantial increase over fiscal '22's free cash flow of $44 million.  Regarding the fourth quarter of fiscal '23, total reported revenue increased 6% while core revenue expanded 9% over prior year. We continued to improve profitability with an adjusted EBITDA margin of 24.9% in the fourth quarter of fiscal '23, up from 20.1% in the year ago period. While we expect to continue to enhance profitability towards our goal of 25% as we exit fiscal '24, keep in mind that there is some seasonality as higher volume in the back half of the fiscal year typically translates to higher margins. As we have discussed, our strong liquidity and balance sheet support our capital allocation priorities, including, internal investments to drive our organic growth, also to execute on our ASCEND transformation program, along with opportunistic share repurchases and the capacity to pursue strategic acquisitions. At year-end fiscal '23, our leverage was 0.6x adjusted EBITDA, remaining well below our target range of 1.5x to 2.5x and providing ample liquidity to pursue meaningful capital deployment. During fiscal '23, we repurchased 2.2 million shares, returning $58 million to shareholders. There are 4 million shares remaining under the current authorization. As noted in our press release in July, we completed the sale of the Cortland Industrial business, further sharpening Enerpac's pure-play focus. For modeling purposes, Cortland Industrial contributed approximately $23 million to revenue in fiscal '23 with minimal impact on EBITDA.  Looking ahead, our guidance for fiscal 2024 reflects a fair degree of caution given the continued uncertainty in the macro environment. Entering the first quarter of fiscal '24, orders declined in September but rebounded thus far in October, leaving us about flat year-over-year through the first half of the quarter. With that in mind, we anticipate net sales of $590 million to $605 million with underlying core growth of approximately 2% to 4%. For the year, we expect growth in both product and service revenues.  As a note, when we talk about core growth in fiscal '24, we've deducted revenues from the divested Cortland Industrial business from the baseline for a true apples-to-apples comparison.  Longer term, we continue to target the goals we laid out at our Investor Day in November 2022, with a 6% to 7% organic revenue CAGR over the planning horizon through fiscal 2026. We are forecasting adjusted EBITDA of $142 million to $152 million. And at the midpoint, that represents a year-over-year growth of 8%, with a full year adjusted EBITDA margin of 24.6%.  We expect to generate relatively flat free cash flow of $60 million to $70 million in fiscal '24. CapEx is expected to be higher with investments in the range of $12 million to $17 million compared to $9.4 million in fiscal 2023, as we invest in manufacturing equipment upgrades and automation to support our continued growth and efficiency enhancements. In addition, cash taxes are expected to increase to normal levels, partially offset by lower ASCEND-related costs. Excluding onetime charges associated with the ASCEND program and discontinued operations, fiscal '24 free cash flow conversion would be approximately 100%.  As you can see from this slide, we have included our modeling assumptions including interest expense, depreciation and amortization, along with adjusted tax rate.  As Paul said, we effectively achieved the vast majority of our targeted benefit from ASCEND in fiscal 2023. Going forward, as we transition to a continuous improvement program, which leverages all the rigor and processes from ASCEND, we will no longer break out ASCEND's specific benefits. As per the expense out of ASCEND, since the inception of the program, we have booked expenses totaling approximately $60 million. That leaves us with $10 million to $15 million remaining in anticipated spend in fiscal 2024, which includes $3 million to $5 million of restructuring charges.  With that, let me turn the call back to Paul.
Paul Sternlieb: Thanks, Tony. As I said at the top of the call, we're very pleased with the solid growth generated in fiscal '23, a reflection of our ambitious growth strategy, already yielding results and centered around four key pillars. Our first pillar involves expansion in targeted vertical markets, wind, rail, infrastructure and industrial MRO. Not only do these large fragmented markets provide exciting opportunities for growth and market share expansion, they're also benefiting from solid secular dynamics including the infrastructure spending bill in the U.S. and the global transition to clean energy.  Just to share a few examples. In the U.S., within the past few months, the administration has approved the largest ever offshore wind project. In addition, the Department of Transportation has opened applications for nearly $10 billion in funding for the nation's bridges. Moreover, the Federal Railroad Administration announced a new round of rail infrastructure funding of $1.4 billion for 70 projects. These initiatives all represent a significant expansion in funding levels for wind, rail and infrastructure spend and a favorable growth environment for Enerpac. Additionally, we believe the reshoring of industrial capacity, which appears to be a durable macro trend provides a positive tailwind for Enerpac.  Our second pillar is digital transformation. This includes both our digital connectivity for our products through the implementation of Enerpac Connect, our proprietary IoT solution as well as our robust digital marketing and e-commerce program. We believe our digital strategy will enhance Enerpac's ability to acquire and sustain long-term customer relationships. In fiscal 2023, we nearly tripled the level of sales through the e-commerce channel and significantly beat our internal plan. And we're excited about the progress we continue to make in this area in fiscal '24 and beyond.  Our third growth pillar is our customer-driven innovation program. Over the past two years, we've substantially reconfigured our new product development program with an increased level of customer insight and discipline in our processes. Most importantly, the product roadmap is now well aligned with our four key vertical markets, and all aimed at solving our customers' most critical issues while generating strong ROI for Enerpac.  Finally, we are implementing an exciting set of initiatives to expand Enerpac's presence in Asia Pacific. We believe we are currently underpenetrated in this important geography and as such, have substantial opportunities for growth, especially outside of China, which is a relatively small part of our business in the region today. One of our strategies in Asia Pacific includes the rollout of our second brand, providing a mid-tier offering to reach a relatively untapped segment and expand our addressable market. These products offer customers high quality and good value while delivering Enerpac caliber margins. We are in the process of rolling this out through existing as well as new distributor channel in Asia Pacific.  Beyond these opportunities for organic growth, we are pursuing an M&A strategy focused on solving customer needs within our targeted vertical markets, while staying true to our mission of helping customers to execute complex, often hazardous jobs, safely and efficiently. We have a disciplined approach with strict criteria for financial returns and strategic fit.  We recently recruited a highly experienced Head of Corporate Development to lead our M&A program and coordinate the identification, cultivation, analysis, acquisition and integration of companies to create value for our shareholders. With a dedicated leader for this important element of Enerpac's growth now on Board, our M&A pipeline has grown more comprehensive and robust, and we are excited about the opportunities that we are evaluating.  In September, we acquired a licensed brand and related intellectual property for Track Tools. While it's not material in terms of near-term financial impact, it reflects our strategy to provide integrated solutions for railroads. Specifically, the Track Tools system for rail maintenance has the advantage of minimizing or eliminating service disruptions, while providing safer operation than traditional lifting systems. Track Tools also adds established customer relationships and a solution that we can sell to the global marketplace.  Now, let me switch gears briefly to talk about the success of our ASCEND transformation program. In terms of our go-to-market strategy, we have realigned our resources to better match sales opportunities and focus on our four key vertical markets. Of recent note, we have expanded our reach in rail through the addition of several new business development resources. We've also targeted demand generation activities to expand our customer universe in rail, focused on industry trade shows, social media, and follow-up on government project funding. We have also implemented numerous initiatives around improving operational excellence and production efficiency. We are continuing our SKU rationalization initiatives and we've set ambitious goals for driving more productivity in manufacturing, logistics and sourcing, while also improving lead times and on-time delivery performance. We made good progress reducing our past due backlog in fiscal 2023 as our supply chain started to normalize.  As Tony discussed, our operational improvement efforts have already attributed to a solid expansion in gross margins. We're also executing a series of SG&A productivity initiatives, employing technology to create a leaner and more agile organization. Similarly, these efforts have already enabled us to substantially reduce SG&A as a percentage of sales, a trend that we expect to continue as we work toward achieving best-in-class levels in the industrial sector over time. Of course, none of our progress would be possible without the hard work and commitment of Enerpac employees around the globe. They are the driving force behind our transformation to a premier industrial tools and service business. I'd like to thank all our employees for their contributions in fiscal 2023, which enabled us to deliver strong results as a team.  Thank you for joining us this morning for our year-end call. As always, Travis will be available to take any follow-up questions. And for those who are interested, we will be attending the Baird Global Industrial Conference on November 8 in Chicago. Thank you, and have a good day.
Operator: